Analyst: Chip Dillon - Credit Suisse Mark Weintraub - Buckingham Research Gail Glazerman – UBS Mike Roxland - Bank of America/Merrill Lynch Steve Chercover - D.A. Davidson Mike Marburg - Ramsey Asset Management
Operator: Good morning, my name is Lorrie and I’ll be your conference operator. At this time I’d like to welcome everyone to the Potlatch first quarter 2010 earnings conference call featuring Eric Cremers, Vice President of Finance and Chief Financial Officer; and, Michael Covey, Chairman, President, and Chief Executive Officer for Potlatch Corporation. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. I would now like to turn the call over to Mr. Eric Cremers for opening remarks. Sir, you may proceed.
Eric Cremers: Thank you, and good morning. Welcome to Potlatch’s investor teleconference covering our first quarter 2010 earnings. Before we begin, let me remind you that this call may contain forward-looking statements with regard to our business and operations, please review the warning statements and our press release on the presentation slides and in our filings with the SEC concerning the risks associated with these forward looking statement. Also please note that segment information, as well as the reconciliation of non-GAAP measures can be found on our website www.potlatchcorp.com as part of the webacast for this call. I would now like to turn the call over to Mike Covey, our Chairman, and CEO, who will make some introductory remarks. And then I’ll drill into our first quarter results in a little more detail, Mike.
Mike Covey : Thanks Eric, good morning. By almost every measure our wood products business show dramatic improvement in the first quarter and both our resource and wood products businesses continue strong as we move through April. Lumber and plywood prices are at the highest level in almost five years. Our manufacturing facilities which consume about 25% of our total harvest volume are running at normal and our customers are also operating on typical two or three shift operating schedules. The robust activity and wood products manufacturing is quickly translating into higher log prices particularly as minerals try to replenish depleted log inventories to capture market opportunities. As we expected, our wood products business contributed meaningfully to EBITDA after a long period of breakeven results and losses going back to late 2008. We expect our second quarter results for wood products to be similar to the first quarter due to the strong demand and continued strengthening in lumber and plywood prices. Clearly the market is reacting to supply disruptions caused by mill closures, log shortages on the heel of winter weather the Chilean earthquake offshore demand and currency related issues to name a few factors. As we expected would happen the higher lumber prices are working their way into higher into higher log prices. Given the improvement we already begun to see in log prices we are exploring operating at the higher end of our harvest guidance for 2010 which works between 4.0 and 4.4 million tonnes. Furthermore, if the strength in wood prices continues we may increase the harvest level beyond 4.4 million tonnes, but we won’t make that decision until we get at the further end of the second quarter. We are experiencing good log demand from our customer in all market areas with log prices for most products currently forecast to be up 10% to 20% over Q1. Moreover, we are not experiencing any logging contractor shortage and see no impediments to increasing harvest levels should we decide to do so. We will make a final determination on harvest levels in June based on market condition leading into the third quarter, which is typically when we harvest roughly 35% of our annual volume due to favorable operating conditions. As noted in our earnings release demand for real estate remains stable. For five consecutive quarters we have closed between 30 and 40 transactions mostly in the late state at prices that are attractive relative to the underlying timberland value. We continue to explore opportunities to sell non-strategic timberland holdings in each of our three operating regions. Interest remains firm in transactions the range and size from $25 to $100 million. Overall, we are pleased with the trajectory of our business, although we did not expect the lumber and plywood pricing to be as strong as it is today and the near term outlook remains some what uncertain it is clear we are at path to higher housing starts over the next several years which at the end of the day is one of the key factors that drive our business and cash flows. Our view is that there is a modest risk of lower lumber prices over the next quarter or two, but if that happens we don't believe they will slide all the way back to the levels experienced in the trough of the market in 2009. For sometime we have stated that higher log prices coupled with increased harvest levels would allow us to sustain and perhaps even increase our dividend overtime. Recent market activity gives us added confidence, that our dividend is sustainable and can be supported by our core businesses. Let me now turn the remaining time over to Eric to address our first quarter results, followed by questions from analysts and investors on the call.
Eric Cremers: Thanks Mike. As shown on page 3 of the slides accompanying this presentation, we reported first quarter 2010 earnings from continuing operations at $1.4 million or $0.3 per diluted share. This compares to earnings from continuing operations of $28.8 million or $0.72 per diluted share in the first quarter of last year. It is important to note that included in this years first quarter tax provision is a $0.07 charge for the recent healthcare legislation signed in the law, so excluding that charge earnings would have been $0.10 per share. Also included in last year's first quarter results is a 24,500 acre non-strategic timberland sale in Arkansas which generated $0.75 per share of earnings. So, excluding that sale we would have had a $0.03 loss per share in last years first quarter. I’d now like to review our first quarter results broken down by segment. Slide four highlights operating income and margins trends in our resource business. Our resource segment results for the first quarter of 2010 were similar to our first quarter 2009 results. Operating income in this years first quarter totaled $9.9 million, compared to $10.8.million in first quarter of last year. The primary driver behind the modestly negative income variance was lower pulpwood harvest volumes. Page five, highlights volume and pricing trends for the Northern Region of our resource business. Saw log feet volumes were slightly higher comparing first quarter 2010 to the first quarter of 2009. Regarding Saw log pricing in the Northern Region prices fell 3% from the fourth quarter of 2009, to the first quarter of 2010, as we continue be impacted by a product mix shift away from (inaudible), as we discussed in last quarters conference call. Importantly, if we exclude the [Cedar] mixed impact saw log prices in the Northern Region actually improved 5% in the first quarter over the fourth quarter of 2009. And in fact pricing continues to improve as we move into the second quarter with Northern Regions Saw log pricing forecast to be up 15% to 20% over Q1. Pulpwood volumes in the Northern region were down 24% year-over-year pricing was actually up 2% compared to the fourth quarter of last year. Page six, highlights volume and pricing trends in the Southern Region. Saw log harvest volumes in the first quarter of 2010 increased 12% over the first quarter of 2009, primarily due to stronger customer demand. Saw log pricing in the southern region improved 3% compared to the fourth quarter and like the Northern region continues to improve as we moved into the second quarter with saw log pricing forecast to be up around 15% in Q2 versus Q1. Pulpwood volumes in the southern region were down 28% year-over-year, the primary driver for lower pulpwood volume this year versus last year is that in the first quarter of 2009, we had exceptionally large customer demand, and so we accelerated our pulpwood harvest to capitalize on the opportunity. Pulpwood pricing in the south remains firm as the wet weather has impacted the available supply and pushed pricing up 11% compared to the fourth quarter of last year and is forecast to be up another 10% to 15% in Q2 verses Q1. As we move into the second quarter it is important to note that harvest activity in our resource segment slows considerably this quarter, due to the spring break-up in the northern region, which we typically experienced time of year. We are estimating our northern region harvest volume to be roughly 20% to 25% below our Q1 level. Next, I’d like to review our real estate business. As shown on page 7 our real estate segment had $3.4 million revenues in Q1, which compares to revenues of 48 million in last year’s first quarter, however excluding the $43.3 million non-strategic timberland sale in Arkansas in last year’s first quarter. Real estate revenues in the year ago quarter would have been $4.7 million, comparable to the 3.4 million this year’s first quarter. Slide 8, highlights operating income trends in our real estate segment. As you can see our real estate segment produced operating income of $1.9 million during the first quarter which compares to operating income in last year’s first quarter of $41.5 million. Again excluding the non-strategic timberland sale from last year’s first quarter. Operating income for this segment would have been $800,000 comparable to this year’s Q1 results. Page nine, highlights our real estate acreage sold by product type and as you can see we sold over 2,400 acres of rural real estate in the quarter. Along with almost 200 acres of HBU type property. Page 10, highlights price transfer our real estate business broken down by product type. And they continue to be consistent with prior results. Our real estate business continues to perform well in this challenging economic environment. And while demand for HBU property continues to be relatively soft. Demand for rural real estate remains firm and as Mike indicated earlier demand for non-strategic timberland remains relatively high as capital continues to flow to the sector as evidence by the announcement last week that one of the large team [most] has raise $250 million in a new timber fund. This can be seen on page 11, our wood product segment had a stellar first quarter with operating income of $5.2 million in comparison to an operating loss of $11.2 million in last year’s first quarter, and a loss of $4.8 million last quarter. Page 12, highlights price and volume trends in our wood product segment and as you can see both volume and pricing were up in the quarter. Turning to first quarter, we sold our Post Falls Idaho particle board facility for an undisclosed amount. The facility was employed just 24 people and was one of the oldest and smallest particle board plants operating in North America was not a strategic fit for Potlatch going forward. We are turning to page three of our supplemental materials. Corporate administration cost including interest expense totaled $13.1 million for the quarter, compared to 16 million in the fourth quarter and 10.8 million in last year’s first quarter. Interest expense, net of interest income totaled $6.7 in the first quarter of 2010, compared to 4.8 million in last years first quarter and $6 million in the fourth quarter. Our interest expense increased in the first quarter over prior periods due to the high yield offering we completed in the fourth quarter of last year. EBITDA totaled $18.8 in the first quarter, versus 47.7 million in last year’s first quarter and 13 million in the fourth quarter of 2009. Importantly, if we exclude the 24,500 acre non strategic timber land sale on Arkansas last year, EBITDA totaled $4.6 million for that quarter, so year-over-year EBITDA improved over $14 million. The company continued to pay its normal $0.51 per share dividend distribution in the quarter, totaling $20.4 million. Our balance sheet is in great shape with debt to capital at 52.3% as calculated per credit agreement and more importantly debt to enterprise value today stands at just 17%. We have no debt maturities this year and just 5 million next year, we have more than ample liquidity as we finished the quarter with $43 million of cash and short term investments on the balance sheet and a completely undrawn $250 million revolver. Mike indicated in his opening remarks that we are [slowly] positioned for the return to higher levels of housing starts which virtually everyone thinks will happen over the next 12 to 18 months. Lorie, I would now like to open up the call to Q&A.
Operator: (Operator Instructions). Your first question comes from the line of Chip Dillon of Credit Suisse.
Chip Dillon - Credit Suisse: I wanted to just make sure I got the guidance correctly, and if we look at the Northern segment again you were saying that you expected the pricing to be up I think you said 10% to 20% in the second quarter versus the first. Is that right?
Eric Cremers: That’s correct
Chip Dillon - Credit Suisse: And then when you look at the South is that when you said I wasn’t quite whether you said I think you said pulpwood would be flat and saw timber up. Is that the right way to look at it?
Eric Cremers: No, from a pricing standpoint both pulpwood and saw logs are going to be up in the South.
Chip Dillon - Credit Suisse: And that’s the 10% to 15%?
Eric Cremers: That’s been roughly 15% kind of range.
Chip Dillon - Credit Suisse: And then as you mentioned the volumes in the Northern segment, that’s where they fall 20% to 25%, right? Do they also fall in the South very much?
Eric Cremers: No, they are actually going to increase in the South. So overall, harvest volume should be down 5% to 10% for the quarter versus the first quarter, but in the North they are going to be down 20% to 25%, but they will be up 10% to 15% in South.
Chip Dillon - Credit Suisse: Okay. And then the 35% you mentioned is for the whole company in this third quarter, is that right?
Eric Cremers: Yeah, our total harvests volume 35% comes in the third quarter.
Chip Dillon - Credit Suisse: Okay. And then you mentioned that a timber fund was raised. Do you mind sharing which [TEMO] raised that money?
Mike Covey: It was reported to be Hancock.
Operator: Your next question comes from the line of Mark Weintraub of Buckingham Research.
Mark Weintraub - Buckingham Research: You indicated that your saw mills are now operating at full capacity and just I am curious as do you have a sense as to where all the lumber is going? Is it actually being consumed now is it filling inventory change as well, because certainly demand has picked up a bit, but it seems pretty amazing that we have gotten to a point where we can be running full out.
Michael Covey: Well, Mark we are operating a normal two and three shift capacity levels depending on facilities, so I mean we do would have the potential to increase at a bit more conditions wanted to all the way to three shifts which we’ve not done everywhere so like characterize, what we are doing in most of our customers with normal. Where the woods going, I think you know it’s in a whole variety of places, I think you certainly see in different wood flows in North American then probably we’ve seen in the past with the strength of the Canadian dollar and demand from offshore from China and Japan. I think there is quality wood from Canada now. I think there is more fiber going offshore than there are used to be. I think there is certainly some after great period of de-stocking, there is some inventory replenishment, that’s going on, it’s not necessary going up in higher housing starts. Clearly, 600,000 starts give or take are not enough to completely tip demand over. Also, I think it’s in a whole number small places increasingly repair remodel, is the stronger segment housing is not as clearly as strong, as it used to be repair remodels quite strong. I think industrial and public works project are picking up steam in the country. We make industrial plywood that goes in to lots of application that are stronger than we expected this time a year for such things as RVs, school boxes different industrial needs.
Mark Weintraub - Buckingham Research : That’s helpful. And I realize that wood products isn't the big value driver for your company, but I was a little surprised that you wouldn't have thought second quarter would have been even better than the first quarter given that we’ve continued to see, at least in those regions, lumber prices does move higher. And can you provide a little more color on that?
Michael Covey: Well, it’s possible that it may be stronger. I think one of the things that quickly is happening is log prices are rising and that quickly begins erode exceptional margins that we had in the first quarter of the year and so we’re just going to have to wait and see the pace of log price increases against the duration of this valley and lumber and plywood.
Operator: Your next question comes from the line of Gail Glazerman of UBS.
Gail Glazerman – UBS: Carrying on that line of thought a little bit in terms of customer demand and outlook, can you give any sense to what they are doing with their wood decks? Do you think their log decks are kind of full at this point, replenished in the first quarter? Are you seeing signs that your customers are planning on ramping up production further as they look out? And also, just wondering what level of visibility you have into that second quarter price outlook?
Eric Cremers: No Gail, we don't see, we see modest signs of increasing production as we move into the second quarter, we can think of one or two of our customers in the resource business that have added a shift to put on some overtime hours. But we are not seeing a lot of closed mills start up in this environment. So I hope that answers one part of your question, the other part is with regard to [log decks], they were running at very, very low levels the wet whether in the south kind of pushed log decks down and then we’re now in the spring breakout so log decks continue to be down. So I don't think there all the way back to normal levels, but certainly they are headed in that direction.
Michael Covey: Gail I’ll add to little bit, but I think while inventories are closer to being restored than normal levels in the south than they are in the northern regions, we’re still were just on the just beginning to see signs of spring and say the Lake States in Idaho we have a large part of our business. So log inventories are still below normal here. Regarding our visibility into the second quarter, I think at this point we certainly April businesses has nearly concluded we have really good visibility on our order files and activity through May and really what remains is just uncertainty for June. So we feel pretty confident about our outlook for the second quarter.
Gail Glazerman – UBS: Your guidance on pricing for the second quarter in the North is that including cedar or is that kind of an increase adjusting for cedar?
Eric Cremers: That include cedar, but we are seeing those kind of price increases across the board for sawlogs.
Gail Glazerman – UBS: Okay. And just finally last question on land sales; can you give any sense to the likelihood, given what you are seeing in the market today, that we might see another sale on par with either of the two largest transactions you did last year?
Mike Covey: Well, as we’ve said last quarter and we continued say now we think that there still remains strong interest and attractive pricing and transaction that are valued some where between $25 million and $100 million is the flow of capital to [TEMOs] and they are still looking to place money in attractive timber lands, and we continue to explore those opportunities in each of the regions, but I can’t handicap on likelihood of success.
Operator: Your next question comes from the line of Mike Roxland of Bank of America/Merrill Lynch.
Mike Roxland - Bank of America/Merrill Lynch: Just going back on the Timberlands question, you mentioned I mean you said just now that demand and interest for non-strategic timberland remained strong, but you had no sales of non-strategic [land] I think in 4Q and there weren't any such sales in 1Q. What’s happening with non-strategic land sales is that more of a timing issue?
Mike Covey: Well, certainly for us Mike they tend to transactions that are we sold 24,000 acres in the first quarter of ’09 that the timber deed that we did in mid summer ’09 was really kind of a non-strategic type of a transactions but they tend to be lumpy they are periodic we typically do more than one or two a year and so its not, when we have a limited amount of property that we think its just category and it’s just not something that we see as steady state kind of activity.
Mike Roxland - Bank of America/Merrill Lynch: Can you just remind us as to what amount of acreage you would classify as non-strategic?
Eric Cremers: More or less a 100,000 acres, Mike.
Mike Roxland - Bank of America/Merrill Lynch: And just last question on that. In terms of the interest you said demand and interest, so I guess the expectation is that you will be completing one or two non-strategic land sales during 2010?
Eric Cremers: Well I think yeah, at the start of the year, we had anticipated one or two non-strategic timberland sales. Those are as you know, very lumpy transactions, they are complex and they take time to put together. But what I can tell you that we continue to pursue that type of activity.
Michael Covey: And its the only reason that we completed, Mike thank you we view them as having values that are attractive. And we certainly don’t feel like we have never sold things at below fair value and we won’t do that today.
Mike Roxland - Bank of America/Merrill Lynch: Last question should a non-strategic land sale not occur in 2010 and given where your dividend is, how comfortable are you with maintaining the dividend if you can't complete a non-strategic land sale? And obviously, timber wood markets have improved off bottom and the trajectory is positive, but if one or two non-strategic land sales get done doesn't it put a dividend a little bit more at risk, are you willing to tap use your unfunded revolver?
Michael Covey: I think we’ve said for sometime one of the reasons that we did the high yield offering last year was to improve our liquidity position. We have cash in the balance sheet today, we have $250 million completely un-drawn revolver, that’s priced with attractive terms. And they kind of adjusting as Eric mentioned for its kind of one time unusual items. In the past EBITDA was $18.8 million in the first quarter of the year, which is a proxy for our dividend coverage and our quarterly dividends of $20 million, so given the strength of markets our outlook for improved harvest levels I’ll look for better pricing and we feel like we are pretty close to covering the dividend from core operations today. So the pressure if you will or the urgency to look at non-strategic Timberland transactions has been somewhat diminished.
Operator: Your next question comes from the line of Steve Chercover of D.A. Davidson.
Steve Chercover - D.A. Davidson: I think the answer to that last question was very helpful. So I guess my only real question right now is when you refer to the non-cash cost of your real estate transactions is that basically the land basis and that shows up in your DD&A for the year?
Eric Cremers: Yeah, it's land basis, which you know generally it was relatively low in the first quarter result like only 16% that normally would be little bit higher than that, it's normally around 30%.
Steve Chercover - D.A. Davidson: So you anticipated my next question. So 30% is what we should use as land basis for the full year?
Eric Cremers: Yeah, I mean those are the way land sales work they are, it just depends on how much acres you are selling whether they have a high basis or a low basis split, I think around 30% is a good number to use.
Steve Chercover - D.A. Davidson: Certainly. And so those numbers, the 10.7 and 9.1, etcetera are co-mingled in the DD&A for the resource segment, correct?
Eric Cremers: Not resource.
Steve Chercover - D.A. Davidson & Co: So maybe it would be helpful for you to show us -- to call it land basis I have to look at my model. The only other question then, when you do these sales does it depend if you have a like-kind transaction to offset it what the tax treatment will be in a given year?
Eric Cremers: Yeah, we haven’t had a right kind transaction now for a while, given the strength in the Timberland market. But to extend we can pull off like-kind transaction will pursue it.
Steve Chercover - D.A. Davidson & Co: Okay, and do you think it's accurate to say that land values have probably fallen by 10% or 15% since the downturn began and do you think there is much more downside risk?
Eric Cremers: Yes, I think probably 10% to 15% is that a number we have heard quoted and I have seen in a couple of different places now I thinks that a decent number to assume and I don’t believe there is more downside risk to it given that markets are improving. So I wouldn’t think there is anymore downside risk.
Steve Chercover - D.A. Davidson & Co.: That number seems to be well accepted. I guess some people say that part of the reason that we haven't seen that much is because there really haven't been that many deals?
Mike Covey: Yeah, I think that’s fair I think the number of transactions has been small and we have been you know in specific regions of the country. So I think its hard to make generalization across the entire country but this mattering of transactions in the Pacific Northwest indicate that you know may be it closer to 15% than 10% I think the transactions in the South now its probably more in the range of 10% and 15%, but I think it’s a close estimate.
Operator: (Operator Instructions). Your next question comes from the line of Mike Marburg of Ramsey Asset Management.
Mike Marburg - Ramsey Asset Management: Two quick questions, one on the volume. So you were quoting quarter-over-quarter numbers and when you just look at that on a year-over-year basis it's going to mean the [totals] are up around 40%. Is that what your model shows as well that you are going to go from year-over-year down 5% in the first quarter to year-over-year up 40% and I guess last the second quarter of ‘09 was maybe weaker than normal? Is that because of (inaudible).
Eric Cremers: Well, we had in the second quarter of last, yeah our volumes should be up considerably this year versus last year.
Michael Covey: Well, part of that let me just expand on it. We deferred a harvest last year, our total harvest for our company last year were only 3.8 million tonnes and this year we are expecting between 4 and 4.4 and we’ve already indicated we’ll probably operate close to 4.4. So the increase in harvest levels due to the deferral last year certainly is one variance.
Eric Cremers: And you’re going to see primarily in the Northern segment.
Mike Marburg - Ramsey Asset Management: And are you at all concerned about the pull-forward of demand due to the end of June government mandated incentive. What we are hearing from people in the lumber yards is that they are not seeing, the reason why the mills aren't starting up extra shifts is because there is not a lot of confidence that the end of summer/fall season from the build perspective is going to be very strong based on the order flow that they are seeing in their conversations, so obviously not in the order books per se because it's a one to two month sort of lead time. But that a lot of orders have been, they are trying to get them closed by the end of June to get this incentive in place. Are you concerned about that and/or do you have any average annual housing stock number built into your annual [takings]? 
Michael Covey: Well, there is several factors, our outlook at the start of the year was for housing to be somewhere in the range of 750,000 starts this year. And that was when I look at the start of the year that makes feel little bit high to us right now, but longer term we are still very optimistic in returns to a million plus in the following year above that after that. The expiration of the tax credit for health for same homebuyers that has to be in place so I certainly can have some impact. But underlying housing demand is low anyway, I don't think that alone is a factor that's going to drive things, I think there are so many other things that work in the market the supply disruptions from Chile have profound impacts and the plywood market even some in lumber the currency situation in Canada with the Canadian dollar over power with the US dollar certainly is a driver. The expiration the [inaudible] Canadian in the Southward lumber agreement go down its unclear what that's going to mean to the market. There’s a whole lot of moving increase I don’t think you can pin it on one thing like the expiration of the tax credit for new homebuyers.
Eric Cremers: And just to put some metrics around then I have read research that said that the demand will be up for lumber 15% to 20% this year without the inventory restocking taking place and then if you include inventory restocking on top of that demand for lumber would be up in the 30% to 35% kind of range. So and it's not due to any one thing like housing starts I mean frankly [inaudible] model segment is bigger than the new home starts in the industrial segment is as large as new starts. So it's in a whole bunch of different areas where you are seeing that pull through and demand.
Michael Marburg - Ramsey Asset Management : So the difference between the two numbers was what? The first one was restocking only?
Eric Cremers: The 15% to 20% was not for restocking inventories. Just fundamental improvement in demand and then the 30% to 35% was assuming inventory levels go back to where work kind of 2008 kind of timeframe.
Operator: At this time there are no further questions. I’ll now turn the call to management for any final remarks.
Eric Cremers: Thank you all. Speak to you next quarter.
Operator: Thank you for participating in today's Potlatch Corporation conference call. You may now disconnect.